Operator: Ladies and gentlemen, welcome to the Klepierre’s 2018 Half Year Earnings Conference Call. I now hand over to Jean-Marc Jestin and Jean-Michel Gault. Sir, please go ahead.
Jean-Marc Jestin: Good morning, everyone. It’s my pleasure to be with Jean-Michel to present Klepierre’s first half, 2018 earnings. This morning, I will first present the highlights of the first half, which was very strong and explain why we think we are the best of retail in our properties. Then Jean-Michel will walk you through the operational and financial performance of the first half and I will conclude with our development projects and the outlook. So starting with the highlights on first slide, four key figures summarize our strong performance was in the first six months of the year. Thanks to the efforts of all our teams all over Europe. Number 1, net current cash flow per share was up by 7.8% to EUR1.31. This is mainly due to the solid like-for-like growth in net rental income of 3.2%, 200 basis points over indexation. Our EPRA net asset value rose by 6.8% to EUR39.50. And of course, very strong results exceeded our plan, and therefore we have decided to raise our full year cash flow for 2018 to at least EUR2.62 per share, which compares to our initial objective of EUR2.57 to EUR2.62. Our leading activity remains very dynamic. We have signed 958 leases in the first half. This is a second best performance of our portfolio in its current size. We signed also deals with 11.1% releasing spread and this is roughly in line with previous years. And the vacancy, as you can see, is down by 20 bps year-on-year to 3.2%. Our leasing activity is dynamic, because retail, as you know, is dynamic. Whether we are talking about established players who are expanding in our malls or newcomers we are introducing in our malls, the deal has been very strong. Here we see a few brands that have signed deals with us. They are quite diverse. And probably names that you do not recognize, which show that retail, as it has always been the case, is constantly regenerating. Sports and sportswear retailers are continuing to grow quite impressively, so are also food and beverage brands. There are some of the players we are introducing or expanding as start of the Destination Food strategy that we are implementing all over Europe in our malls. Turning to our development highlights, over these past six months, I would like first to say a few words about Hoog Catharijne, the number one mall in the Netherlands and we think it’s a true success story. Last spring, we fully opened, what we call, the North Mile. That is a new connection from the Central Station to the heart of the shopping center. With 14,000 new square meters of retail, consolidating the mall’s leading position as fashion and food destination for the whole country. The figures speak by themselves. We have increased footfall by 3 million year-on-year to 27 million and retailer sales are up by 10% so far this year. And there is more to come and I will come later in the presentation. Prado. Prado in Marseille is our newest family member. We opened it in March. It was an immediate success and has been unwavering since then. The footfall is increasing as Zara opened its flagship store a few months ago. And the rooftop terrace is truly unique and entirely dedicated to a sophisticated dining offering. Prado is a fantastic venue as some of you have visited and leading edge in terms of architecture and environment performance. It, I think, exemplifies Klepierre’s style and know-how. Another example of Klepierre knowhow in the refurbishment category is the Plenilunio. You all remember that we bought this asset in Madrid in 2015. It was already a great shopping center. But we thought it needed a bit of renovation to make it a world-class mall. We dedicated a limited amount of CapEx, i.e. EUR15 million to create maximum impact and Klepierre’s share is being limited to EUR5 million. This type of property proves that physical retail is not only still relevant, but more attractive than ever. The full refurbishment was delivered in May and already footfall sales and valuation have significantly increased. On Slide 11, you can see the new interior of the mall with the digital animated display and I think it’s quite stunning. To conclude on the highlights of the first half, let me comment on the retailer sales in our malls all over Europe. They increased by 1.4% in the first half, outperforming national indexes by 100 basis points. The overall performance was driven by Iberia, which is still brilliant, and Germany, as well as Central Europe and Turkey. Scandinavia is lagging a little bit behind because of Denmark and Italy is – was negative because it suffered probably for the most important bad weather condition in Europe and which has a significant impact on the fashion segment and also macroeconomic situation affected by political uncertainty. In the whole portfolio, Health & Beauty and Food & Beverage were the main contributors to the growth and our extensive re-tenanting actions also play a large part, which bring me to the next topic. Being able to constantly outperform the market and sustain growth in a challenging retail environment is the outcome of a very clear strategy. In our last earnings presentation, I touched on the refocus of our portfolio which we have completed in the recent years and our capital allocation strategy. This morning, I would like to zoom into the leasing level to show you how we have transformed our retail mix over the past few years. Working on the mix extend is not always visible, but it is essential, which is the very core of our activity as I said, looking for the right retailers at the right place, detecting the new trend, the new retail heroes, deploying them fast. This is our job. Balancing the value segment within the mix and of course there is no cookie cutter approach. We have to adapt to each local situation. But there are some fundamentals to observe and we have been doing this in-depth across our portfolio and it is bearing fruits. It is what I want to show you know. So starting with fashion, we have significantly outperformed the European market on the fashion segment in terms of retailer sales by 250 basis points since 2013 on average. The market where we are – have grown by 1.7% annually on average, while our retailer sales have grown by 4.2%, and there is a reason for that. Because we have clearly overweighed the big international retailers in all our malls, and more importantly we have implemented their latest store formats, that’s what we have called for years now the rightsizing. Thanks to our ability to accommodate them, we have today 39% of our retailer sales in the fashion segment in our malls up on international retailers including names, among others, such as Zara, Primark, Uniqlo and Calzedonia. And this number compares to 29% in 2013 at constant scope. And this is illustrates a massive qualitative transformation of the fashion segment in our malls. And as we have been implemented the latest store formats of those retailers, the average store size has increased by 18% and sales per square meter have also increased accordingly by 19%. And we will continue to work on this transformation and I’m confident that it will allow us to keep outperforming in this polarizing retail environment. Turning to Health & Beauty now, again, our outperformance the seasoned market in terms of retailer sales is very clear. We have grown by 4.5% annually, while the market has grown by 2%. And in this case we believe it reflects our ability to size the momentum of trendy and fast-growing brands. We can highlight retailer such as Sephora, MAC, Rituals, Lush, among others. And since 2013 we have opened 101 stores with these brands, which accounted for half of our growth since 2013. That explain our outperformance on this segment. The last segment is Food & Beverage and this market is very dynamic and we have benefitted from that. We are amplifying the trend by rolling out our Destination Food strategy in all our malls in Europe. And in this segment we have been capitalizing on the must-have brands that we have largely deployed in our malls with 156 stores and 27 openings since 2013. These brands include Burger King, McDonald’s or more recently Starbucks and Nespresso. And today these retailers represent 20% of our retailer sales in the Food & Beverage segment. In addition, through the ongoing deployment of our Destination Food concept, we have been expanding new concepts, our local heroes such as Vapiano, Big Fernand or Five Guys. And we are committed to extend the Food & Beverage segment in our malls. To illustrate what I have just said about the three segments, I would like to showcase on the ground the exceptional retail mix transformation of Val d’Europe. The extension and refurbishment of this mall gave Klepierre the opportunity to modernize the retail offering. And we – as you know, we have added 14,000 square meters of new anchors such as Primark, Zara, H&M, Uniqlo, Nike in their latest formats. And this has benefited not only to the fashion segment, it has also benefited to the entire mall. Sales per square meter for the Health & Beauty segment have increased by 20%. This segment also benefited from the implementation of new brands such as NYX, MAC and the brand new Sephora concept store. The same goes for Food & Beverage where sales per square meter in Val d’Europe are up by 24%. I would like to conclude this section by saying that Klepierre has a unique business profile in Europe for four reasons. Number one, thanks to our leading of Pan-European platform, which is positioned in the urban areas, which are all growing faster than others in economic and demographic terms. Number two, thanks to the matched retail mix, I just presented. Number three, polarizing retail environment, these two elements allow us to high and generate growing sales per square meter. And number four, thanks to our low level of OCR, we have clear potential to sustain rental income growth going forward, especially keeping in mind the accretive impact of both acquisition and the development pipeline. With this, I am handing the floor over to Jean-Michel now to present the operating and financial performance of the first half.
Jean-Michel Gault: Okay. Thank you, Jean-Marc, and good morning, everyone. Let me walk through the operating and financial performance on the first half of 2018. As Jean-Marc told you, the first half has been once again very strong. Net current cash flow increased by 7.8% after a 7.4% increase last year. Looking at the main growth driver. Net rental income rose by 2.4%, mainly by – driven by a sound 3.2% like-for-like growth for shopping centers. Operating cash flow increased by 2.6%. This is slightly higher than the net rental income growth as we managed to further reduce our operating expenses as illustrated by the 50 bps reduction in our EPRA cost ratio. The net cost of debt has continued to decline to 1.6%, a 30 bps reduction compared to the same period last year. The result is a EUR5.5 million drop in our cost of debt. Lastly, the reduction in the average number of sales following our share buyback program, boosted the net current cash flow per share. Looking at the NRI like-for-like growth. We benefited over the first half of 2018 from a higher indexation at 1.2% compared to 0.7% last year. In addition, our outperformance over indexation remained at a very high level of 200 bps. This is explained by solid releasing spread, further increasing specialty leasing revenues and vacancy reduction. Lastly, bad debt remains at a very low 1.6%, demonstrating Klepierre’s leasing policy to focus on healthy international retailer. By geographical area, NRI like-for-like growth by country was quite comparable with last year with all the geographies posting a positive performance except for Germany, which was flat. Moving to the next slide. The leasing momentum remains buoyant. We have let renewed or re-let 6% of our rental during the first half, consolidating into addition annualized Minimum Guarantee Rents of EUR19.1 million, slightly above last year record which was EUR18.9 million. So renewed and re-let leases, the reduction reached 11.1% with a strong contribution from France plus 13.8%, benefiting from the renewal campaign at Saint-Lazare and Spain plus 24.1%. Reduction in Central Eastern Europe and Turkey was also maintained at a high level, plus 10.4%, sustained by the Czech Republic notably in Nový Smíchov with the ongoing Tesco operation and Hungary. In Germany, the mark-to-market of all leases is still an ongoing process, mostly at the shopping center of Duisburg and Königsgalerie. Through this dynamic leasing activity, vacancy rate kept declining at 3.2%, down 20 bps year-on-year. This improvement comes mostly from Netherlands, Germany, Central Europe and Turkey. On this next slide regarding cost. We continue to streamline our cost base. Looking first at our operating cost. G&A has declined by 2%, which combined with a net rental income increase as trigger 60 bps to 70 bps reduction in EPRA cost ratio about six months or 300 bps drop since 2015. Meanwhile, we also reduced our net cost of debt to 1.6% at the end of the first half. The 30 bps reduction compared with the level one year earlier was driven by efficiency financing initiatives since net debt remained stable year-on-year. Looking now at the capital allocation for the first half. In term of CapEx, we invested EUR177 million over the six months of the year. It can be split between development for EUR115 million mostly related to Prado, Hoog Catharijne and Créteil-Soleil and the like-for-like portfolio for EUR50 million. On the like-for-like portfolio that is to say assuming no additional square meter, so spending includes leasing CapEx for approximately 50%, refurbishment for 20% and technical maintenance for another 25%. These figures are before invoicing to tenants which represent about one-third of the overall amount. On the disposal side, we sold asset for a total amount of EUR310 million. As a reminder EUR203 million are related to the two malls in Marseille and in Madrid that we sold to Carmila in February. Other assets sold include notably a development plot in Germany. Lastly, we continue our share buyback program in the first half. Since the inception of his program last year, we have repurchased shares for roughly EUR440 million, including EUR67 million over the first half. I would like to illustrate now how we locate our resources. Over the past 12 months, sources and uses of cash have been quite comparable, leading to stable net debt over the period. It is worth to highlight that our net current cash flow more than covers the dividend payment, the CapEx for existing portfolio and most of our annual cash out dedicated to the development pipeline. This is another way to say that we don’t rely on disposable to finance our current business. In the meantime, the cash proceeds on the disposals are invested in selective acquisition and the share buyback. Overall, through a disciplined financial policy, we are able to improve the quality of both our asset portfolio and our balance sheet. Now let’s look at the portfolio evolution. On a like-for-like basis, the value of our portfolio of shopping malls has increased by 3% over the past 12 months and by 1.4% over the past six months. In a context where our yield contraction have been nil. Our EPRA net initial yield remained flat at 4.8%. By geographic area, France, Belgium, Italy, Iberia and the Netherlands have been the most important growth contributors. Central Europe and Turkey decreased by 10% over six months, mostly due to rent adjustments in Turkey related to the depreciation value of the Turkish lira. As Jean-Marc mentioned earlier, we are accelerating the evolution of the tenant mix in our malls. This has also boosted the valuation of some of our assets. For instance, Nueva Condomina, plus 11.4% over six months; Field’s plus 5%; Nový Smíchov, plus 1.5%; Düsseldorf and Dresden plus 5.4% and Porta di Roma, plus 5.3%. All these malls are benefiting from this recent re-tenanting initiatives. Moving now to the debt position. Debt position remained very stable. Over the past 12 months LTV declined by 100 bps to 37.2% at the end of June, reflecting the flat net debt and the increase in portfolio valuation. Over the last six months LTV increased by 40 bps due to the dividend seasonality. Restated from that impact our LTV would have reached 36% or the 80 bps contraction. As a reminder next, year we will pay our dividend in two installments instead of 1. Overall, the 37.2% loan-to-value remained right in the middle of our mid-term target. Other net ratios also point to a very healthy financial situation, namely broadly stable net debt to EBITDA ratio at 8.7x and pretty high interest coverage ratio at 6.8x, debt duration was maintained at 6.2 years. After the refinancing, last December with EUR500 million 15-year bond issue at the 1.6% coupon, Klepierre has repaid in January EUR290 million bond having 4.625% coupons. Additionally, to continue to optimize its debt structure, Klepierre has renegotiated or compacted new credit revolving facilities as illustrated by these two charts. Overall, this transaction will generate saving for 2018 and ‘19 of respectively EUR0.7 million and EUR1.2 million, while extending the maturity by 1.8 years, 3.4 years if extension option are exercised, because most of these lines are, as you probably know, five plus one plus one year credit facilities. The group liquidity position is that EUR2 billion, which cover 2.6 years of debt repayment with an average maturity of 5.1 year versus 4.7 years at end December of 2017. And now after portfolio valuation and debt evolution, let’s turn to the EPRA NAV. EPRA NAV per share stood at EUR39.50 at the end of June 2018. This represent a 6.8% increase compared to June 2017. The main driver were the strong cash flows generation of EUR2.6 and the asset revaluation for EUR1.8, partly offset by 2017 dividend payment for EUR1.96. Over six months, the EPRA NAV is broadly flat, explained by the full impact – sorry, by the impact of full dividend payment. After optimizing for taxes and the change in the fair market value of debt and financial instrument, the EPRA triple net NAV is at EUR37.80 per share, up 7.1% year-on-year. And as a conclusion, I would like to share with you the evolution of our net current cash flow per share in connection with our leverage. Over the past three years we have been able to grow our cash flow per share by 6.6% annually. All-in-all, that is to say including acquisition, disposal, et cetera. Meanwhile, net debt has been stable leading to a declining LTV, a unique performance in the sector. And now I hand over to Jean-Marc for the update on our development projects.
Jean-Marc Jestin: So thank you very much for this Jean-Michel show. On development we will just remind you that we have – our development pipeline is about EUR2.9 billion. As you know, it’s also very focused on extension as we seen resistance from the retailers to go for larger Greenfield project. And we have – and we also consider that this a better risk-reward strategy for our shareholders to focus on extension. So moving to Hoog Catharijne, a very quick update. We will finish a project at the end of 2019. There is still 28,000 square meters of additional retail to be opened by that time. 82% of it is already leased and we expect the footfall to increase from 27 million to 34 million. Moving to Créteil. We have started the extension and the renovation of Créteil. This is a EUR134 million investment with the 5.7% yield on cost which includes the renovation cost. We will add 11,00 square meters making a straight connection to the subway and we will add 3,000 square meters of restaurants. And as we speak today, 57% is already pre-let or in advanced negotiation. I would like just to – we have not started – the next two project I’m going to go through very quickly. But just to give you a sense of what extensions means for Klepierre. Going to Odysseum. This is in Montpellier. Montpellier, this scheme retail destination is more than 100,000 square meters. What we will need – what you can see is in blue, we are going to do a future extension on an existing plot with large fashion retailers and more boutiques and restaurants. And this is probably to be launched soon. With an opening targeted for 2021. Odysseum, this is a EUR400 million property in Klepierre. Grenoble Grand Place, same strategy. This is a larger scheme. More than 80,000 square meters. A very large retail destination in France and we are going to extend also by 16,000 square meters. The total value of the asset is EUR370 million and we will have a large fashion anchored which is already leased and the food area will be increased by 3,000 square meters. And we will also refurbish the center. So now moving to the outlook. As you – as we started with, we have decided to increase our guidance to at least EUR2.62 cash flow per share. So now maybe we can give time for questions and Jean-Michel and myself are pleased to answer to any.
Operator: [Operator Instructions] We have first question from Jonathan Kownator from Goldman Sachs. Sir, please go ahead.
Jonathan Kownator: Good morning. Thanks for the presentation. I have three questions, please if I may. The first one on vacancy. Do you expect that from the 3% – 3.2% that you have at this stage, do you expect this rate to go down or is that reached a level at which you feel that this is the structural vacancy for the remainder of the vacancy, first question. And second, interest costs seems to have come down again. Have we reached the bottom at this stage or do you still expect some opportunities to reduce that further? And the third question is on valuations. The rates marginally come down at this stage. I mean, obviously, the investments in shopping centers in France and in Europe shopping centers have come down quite a bit. How your conversations going with the valuers about the yields? At this stage they broadly remained flat. But do you expect that to continue in the near future or do you see a bit more pressure from the valuers and more heated questions coming on that point?
Jean-Marc Jestin: Thank you, Jonathan, for your question. So I will start by the first one. So the vacancy level, it’s always a target for us to reduce it little bit more. I always had a target to be a little bit below 3%. But, vacancy, the way we see it is – this is – there is two type of vacancy. There is vacancy – some of it is structural and it’s difficult to reduce. And some is also they allow us to do the relevant re-tenanting. So to a certain extent we need to have a certain buffer of vacancy within our best malls to scenario of re-tenanting. So in a nutshell, I think being around 3%, that’s our target. For the interest cost maybe, Jean-Michel.
Jean-Michel Gault: Well, for interest cost – from the end of the year we clearly expect the cost of the debt to go to 1.5%. Then after, we don’t know, because we don’t have major refinancing to come next year as you have seen in our maturity schedule, so that makes that. It will depend, of course, from interest rates in the next two years, which is not easy to predict. So for time being it’s also, but we will go at least to 1.5% at year-end.
Jonathan Kownator: Okay. Valuations.
Jean-Michel Gault: Well, on valuation, the discussion with the – we haven’t been challenged too much, I have to say by valuers regarding yield and then so on. And if you – the shopping center market for the quality of assets we have in our portfolio has benefiting from – it’s real to say the strong demand, because we have seen quite a few transactions during the first half. But they remain quite confident on the fact that the yields are stable, at least, for the best asset. And even if we have improved yields in – for the second year in row, I have to say in Italy and we have got some yields on most secondary asset in France. But all-in-all, as you have seen, our net initial yield is flat at 4.8%.
Jonathan Kownator: Sure. I mean, obviously, as you’re saying, you increased the yield on the few properties. Does the lack of liquidity indicates that there is a mismatch between supply and demand at this stage and investors are no longer ready to be for these yields. And obviously, UK is a different context. But we’re seeing adjustments in the yields at this stage, again repricing for UK shopping centers. So are we just one year behind in France? Or do you feel that that the investments market, for instance, will resume and will continue to see transactions at the current yield levels? I mean, for instance, can you – perhaps if you can comment on your disposal program and do you see appetite in the market if you want sell any asset?
Jean-Marc Jestin: Okay. So there’s lot of questions in one. So I think the – it’s clear that the investment market is not that great. We have seen a lot of transactions. But the level of – we don’t have the Q2 numbers. But we expect the investment numbers to be lower than the previous years. So I think the fact that we are fairly open actor and that we can play on a different investment market. So I would say today, to characterize the French market is almost quiet. There we don’t see lot of transaction. But we have been able to do transaction above book value at the beginning of the year. All our transactions are made above sale. Disposals are made above or around book value. So we are still confident that our disposal strategy will meet the book value. And we are selling assets little bit everywhere. So we are much more able than some of other players to dispose, because we are not exposed to only one or two investment markets that can close for six months of our year and reopen after. So I’m still confident that when we put assets for sell at Klepierre we have appetite and we don’t see – at least for the values to go down.
Jonathan Kownator: Okay, thank you.
Operator: Okay, thank you. Next question from Charles Boissier from UBS. Sir, please go ahead.
Charles Boissier: Yes, good morning. I have two questions, if I may. So the first one is, you compete within Unibail in quite a few catchments months like Paris, Madrid. And I just was wondering, as a change with the Westfield acquisition, do you see that potentially affecting your bargaining position to attract international retailers in your malls going forward? Or do you think that’s totally irrelevant and useful to your own bargaining position? And then secondly, on the negative revaluation in Turkey and Poland, how much is – of that is FX related?
Jean-Marc Jestin: Okay. So your question about some of our peers, we don’t comment publically on what they are doing. So, I think, if I may say, yes, this is irrelevant. For Turkey, we have seen a decrease in values. So maybe Jean-Michel...
Jean-Michel Gault: Well, I think we have to look for the figure. We will come back to you Charles on this, if you don’t mind. Give us a few minutes.
Jean-Marc Jestin: So we will answer to that question specifically...
Jean-Michel Gault: We’ll come back on that, yes.
Jean-Marc Jestin: We have less than EUR500 million invested in Turkey. So even if it is 10%, it’s still a very moderate number.
Charles Boissier: Yes, yes. And in Poland as well I was asking.
Jean-Marc Jestin: And in Poland, we have also – we will give you the number in few minutes. So maybe we can move to the next question until we find the right answer.
Operator: We have a question from Florent Laroche-Joubert [Oddo BHF Securities]. Over to you, sir.
Florent Laroche-Joubert: Florent Laroche-Joubert, I had two questions. The first on Germany. We can see growth on a like-for-like basis of 0% and a reversion – a negative reversion of 4.6%. I just wanted to know what we can expect. We understood that you’re working on this. My second question is about the cost of debt. We’ve understood that it should be at – in the region of 1.5% at the end of the year. Have you implemented a hedging policy for rising interest rates?
Jean-Marc Jestin: Okay. So moving to Germany. Germany, we acquired Germany through the merger with Corio back in 2015. The narrative about Germany has not changed. The properties were – those properties were a little bit of over-rented, so we are re-tenanting to better tenants. So the reversion is negative, but this is compensated by higher occupancy, saving in costs. So I think we are quite fortunate to see the NRI flat with a moderate negative reversion. We have three big assets in Germany. Duisburg, most of the releasing campaign as of tenures has been achieved and the next challenges would be for Dresden and Berlin. But we are well on track. So I think the narrative has not changed to see the property we are really taking care of. We are releasing. We opened two flagship stores with Zara, which is a good sign that the international retailers have appetite for those assets. So we will probably continue to see negative reversion, but more or less stable NRI.
Jean-Michel Gault: So on hedging, I think, good one. Actually, the general policy of Klepierre is to be 70% in fixed rate. But it is fair that we can adapt this general policy also in consideration of the interest rate timing. And for now one year we have managed to raise this hedging ratio to 95% – at least for the next three years that is to say. That we have taken three years mostly of caps in order to manage that if interest rates were going up we can enter into the atmosphere gradually. So that is to say that, for the next three years we are almost immune from an interest rate increase at debt stable obviously. If I may come back on the question of Charles, because I do have the answer and quite rapidly. On Turkey, most of the change actually on a like-for-like basis is related to ForEx and it makes about EUR38 million due to the depreciation of the Turkish lira. And for Poland, it’s about EUR10 million. So I think we can go to the next question.
Operator: Okay. So next question from [indiscernible]. Sir, please go ahead.
Unidentified Analyst: Good morning. [Indiscernible]. We are an independent research firm and I have three questions. First of all, what do you see in relevant demographic trends across Europe that you are using to optimize the portfolio?
Jean-Marc Jestin: So for this question, we are – as you know, the whole Europe as a declining demography. So – but the big cities are getting bigger and more populated. So that’s the reason why we have targeted our strategy to be in those cities which are – the vast majority of them are growing quite fast. So we – we’re very happy with that strategy, because I think – the retail is always – you never have to forget that, always the function of the number of people over.
Unidentified Analyst: Okay. And my second question is about e-commerce. And my question is how do you anticipate further increases and do you see strong regional differences in the growth of e-commerce and maybe also a comment about a difference in e-commerce groceries and non-groceries?
Jean-Marc Jestin: So yes, it’s not a prediction, I think this is what everybody can see. Clearly, e-commerce is growing in Europe at the pace of around 15% a year. Some of the countries are well equipped or well penetrated by internet, some are less. So, looking at the UK, this is probably the highest and then France and then at the very bottom you have Spain, Italy, due to infrastructure. And those countries are growing at the pace of – where internet is growing more than double digit starting with a 2. When you look at the UK, for example, the growth from the year to another of e-commerce is only 8%. So there is a trend – I cannot predict for sure. But there is a trend that the e-commerce is growing fast to 20% in terms of retail penetration and it has an impact on all the segments. And for our retailers it clearly means that they need less stores, but they need more relevant stores, bigger stores where they can showcase their brands and they favor clearly the big shopping centers, dominant in the catchment area to the expense of high street, secondary high street. So we are to a certain extent benefiting from the increase of internet when we see our occupancy – the – that’s what I can say. On grocery, this is the – where the penetration rate is the lowest. There is a lot of debate about where it could go. I think there is – there is a big issue about logistic and technology for the fresh food and goods to be on internet. But I expect this segment also to be impacted in the future quite significantly.
Unidentified Analyst: Okay. And then my final question is about your French convenience centers. Do you expect further arbitrage? Or do you plan further arbitrage of that portfolio?
Jean-Marc Jestin: The – we are – we have no – I think there is on the newspaper yesterday, today and the day after – there are so many people who are forced to sell. We are not in that situation. We have a portfolio which we think is relevant in the catchment area. The shopping centers you are referring to are doing extremely well. They have high sales. They are growing in terms of retailer sales and NRI. So we have a very strong portfolio and we are little bit confused when it comes to make – making – to now segment about it. So we are satisfied. But we are clearly over time financing our pipeline and continuing constantly to downsize our number of assets. And this – we have started this year, the year before. So we will continue to, obviously, to sell assets little bit everywhere.
Unidentified Analyst: Okay. Thank you very much.
Operator: Thank you. So next question from [indiscernible]. Madam, please go ahead.
Unidentified Analyst: Good morning. Thank you for taking my questions. I have three questions. The first one is, can you comment on how – why exactly you have upgraded the cash flow guidance for full year 2018. The second is a follow-up question on the disposal. Are you planning to accelerate the disposal on the secondary small assets in the second half of the year? And what sort of discounts or premiums do you see out there for these assets? Third question, can you give us the latest on the UK Have the UK companies’ recent result more or less enthusiastic about this market?
Jean-Michel Gault: Maybe I take the first one on the guidance. I think – well, it’s quite obvious that we have delivered EUR1.31 per share in the first half, so – and we don’t see it going lower in the second half. So that make that we are already at EUR2.62, I think this is the best answer I can give you.
Jean-Marc Jestin: So when it comes to disposal – this is – the question comes almost every time we meet. I think the – last time we discussed officially presenting our annual results, we said that we have a target for 2018 between EUR400 million and EUR600 million of disposals. We are almost at the bottom of the target. And we will probably be in the middle of the target or slightly higher by the end of the year. So we continue to do the job. I think it’s important to refer to the Jean-Michel presentation about uses and resources. We are – our discipline okay, allow us to dispose assets in very good conditions when the market – investment market are open, and that’s why we reached our book value. And this discipline, I will think, will pay off short term, medium term, and long term. When it comes to the UK, we have no comments.
Unidentified Analyst: Okay, thank you.
Operator: Thank you. And now last question from [indiscernible]. Sir, please go ahead.
Unidentified Analyst: Hi, good morning. First question on basically the setup of shops. Two of your peers have commented on larger retail units and one of them said that they have problem leasing up larger units as specific to Belgium. And then UK peer has commented that larger units are higher decrease in an appraisal ERV. So could you maybe comment on what’s happening to larger units in your portfolio and if you recognize these statements.
Jean-Marc Jestin: I don’t. I have to give that I don’t have the answer to the question. I think the – there is – there are so many different landscape when it comes to retail in Continental Europe that it’s difficult for me to opine on Belgium and the UK. I think the main difference between the UK and us it’s – when it comes to department stores. The same happened to the U.S., all these big boxes which are exceeding 20,000 square meters or even 30,000 square meters, they need to be released and sooner than later. So that’s a challenge we don’t have. When it comes to a medium size unit, as we can see – we see the large operators in fashion with a trend to a larger store, so we have a great demand from all of them to expand and to increase the size. And just as a sign, if you look at the most – at the largest fashion retailers, the Primarks are taking bigger space, the H&Ms are taking bigger space, the Zara taking bigger pace. The Kiabi are taking bigger space, the OVS are – the list can be very long. So I think there is clearly a – the polarization of retail to the best shopping centers in that catchment area, comes with an enlargement of some of the large retailers in that segment. But you know that segment we can see downsizing it comes to electronic, to couture they are more downsizing than enlarging. So our job is to manage all of this and I think we are doing quite pretty well.
Unidentified Analyst: Okay. And then maybe finally on the sources and uses slide in your presentation, you split out the CapEx and then EUR104 million on like for like. Could you just comment on the kind of the return you are expecting on that like-for-like CapEx, which is shown there?
Jean-Marc Jestin: I think the – there is – we have been – we have received request from our – from analysts and shareholders to be more transparent about the CapEx. That’s what we are doing here. I think when the – the like-for-like CapEx on the EUR104 million, I think we should dig into more details, which probably we will not do today, but in the next release. That we are – in that number we have three numbers. We have the – some of the renovation cost. We have also maintenance CapEx. And those costs, renovation and maintenance CapEx, they are mainly reinvoiced to tenants. So here we show the gross amount. And then we have leasing CapEx, which is a portion of it. Where, in fact, when re-tenanting come, there are two times into it. The cost that we have to spend as a landlord to sometimes reunify units or doing some works to prepare the premises, and the fitting out contribution we have to grant to some of the junior anchor. And that’s something which is explained in our – on Page 35 of our management report. So I invite you to go on that page and to see in more details the numbers. But that’s a pretty low number. In fact, EUR104 million, I think for a company of our size. We have been very disciplined – we are, we have been and we will stay very disciplined when it comes CapEx. I think the call of the business is not to spend CapEx, it’s to do the right re-tenanting, okay. And when you see for a company like us, the like-for-like is very strong, robust, and the CapEx associated – which is only a portion of that amount to releasing CapEx, it’s very marginal. And I think that our – the way we manage the company is to be very, very careful about the CapEx we spend.
Unidentified Analyst: Okay. Great. So you would say that within that number and obviously we’ll wait for details. But the releasing CapEx is definitely not the – it’s a smaller part of that number?
Jean-Michel Gault: 50% of the – EUR50 million, we have been to this.
Operator: We don’t have any question for the moment. [Operator Instructions]
Jean-Marc Jestin: So thank you very much for attending the call. We did it by phone. I hope that the technology was okay. On our side, it was okay. So on the agenda for – and we – the agenda of the company is, October the 15 and 16, we will organizing Investor Days in Amesterdam/Utrecht through our Hoog Catharijne redevelopment project. And October 22, we will announce our third quarter business review of 2018. So thank you very much for attending and we wish you an excellent day.
Jean-Michel Gault: Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you all for your participation. You may now disconnect.